Operator:
Ángel Bautista - Director, Investor Relations: Good day, ladies and gentlemen. On behalf of our company, I would like to thank you for taking the time to attend this conference on Repsol’s First Quarter Results. This presentation will be conducted by Mr. Miguel Martinez, CFO. Other members of the Executive Committee are joining us as well. Before we start, I invite you to read our disclaimer note. We may make forward-looking statements, which are identified by the use of words such as will, expect, and similar phrases. Actual results may differ materially depending on a number of factors as indicated on the slide. I now hand the conference over to Mr. Miguel.
Miguel Martínez - Chief Financial Officer: Thanks Ángel, and thank you all for attending this conference on our first quarter results. This quarter would release a CCS adjusted net income of €676 million, 40% higher year-on-year, and a CCS adjusted operating income of €1.3 billion, 22% higher than the same quarter last quarter. Before we focus on our earnings performance, I would like to highlight the main events of the quarter. First, the sale of our LNG division we announced earlier this year. We signed an agreement with Shell to sell all of the assets and operations related to our LNG business outside U.S. and Canada for an enterprise value of $6.7 billion. The sale includes the minority stakes in Atlantic LNG, Peru LNG, and Bahia de Bizkaia Electricidad, as well as the LNG sale contracts and time charters with their associated loans and debt, the dealers’ trends, the company balance sheet, and financial position. Second, the sale of our 5% treasury stock to Temasek, the investment company of Singapore for a €1 billion, with this transaction, we have completed the delivery of the measures to which we committed in order to strength our balance sheet following the confiscation of YPF by the Argentinian government. We welcome Temasek to our company. Third, in the upstream business and regarding our exploratory drilling campaign, 7 out of the 9 wells drilled during the first quarter 2013 have found hydrocarbons. In Alaska, in the North Slope, we recently announced the new good quality hydrocarbon discoveries. The Qugruk-1 and Qugruk-6 wells produced two oil shoals with encouraging results during production test. In Qugruk-3 well, hydrocarbons were identified at multiple levels. Exploration and assessment and eventually a startup development will continue next winter. In Russia, in West Siberia, wells Gabi-1 and Gabi-3 have found hydrocarbons, gas with an oil ring at two different levels. Gabi-3 is testing productivity right now. In Brazil, in Block BMS-50, Petrobras has already reported the presence of oil in Sagitario. And finally, in Algeria, in Block Sud-Est Illizi, a significant gas discovery assures the commercial development of this block where we previously announced the first discovery back in November 2012. Further test will be performed to determine the commercial possibilities of these discoveries. Four additional wells have been recently spudded, Dunquin offshore Ireland, Margaree offshore Canada, and a new well in South Illizi, Algeria, and the appraisal of our discovery in the Gulf of Mexico, Buckskin. Rigs for Margaree and Buckskin have drilled a pilot hole, and will have to resume drilling later in the year. The 13 wells already drilled are ongoing we have made a good progress in our annual schedule of 32 wells. Before I start to explain our first quarter results, let me say just a few words about YPF. Repsol remains open to discuss with the Argentine government, a fair settlement for the confiscation of YPF respecting bona fide and legal principles. In the meantime, Repsol has no other alternative but continue pursuing all available legal options. Entering into the first quarter results, I would say the adjusted operating income in the quarter on the basis of current cost of supply was €1.3 billion, 22% higher than the same quarter a year early, after excluding YPF figures. On a business-by-business basis starting with upstream, adjusted operating income in the first quarter was €668 million, only slightly higher than in the first quarter of 2012. Production output was 36,000 barrels of oil equivalent per day, 11% higher than in the first quarter 2012. Since 10 out of the – sorry five out of the 10 keep growth projects of the strategic plan 2012-2016 have come on stream, together with better volumes from Trinidad & Tobago. We are confident that we will achieve the 10% average growth targeted for 2015. Incremental production will come from the ramp up of Mid-Continent in the U.S. and Sapinhoa in Brazil and the start you of our Phase 2 to of Margarita in Bolivia. On the other hand Kinteroni is already technically prepared to come on stream, but the delay is mainly due to the negotiation with the final contractor arrangements to be completed with the common share partnership and Trinidad will under go planned maintenance. The increased production volumes had a positive impact of €72 million. Repsol crude realization prices remain flat despite the weaker performance of brand prices in comparison with first quarter of 2012. While gas realization prices increased by 26% having a positive effect of €43 million. Increased depreciation charges had a negative impact of €45 million. Depreciation charges per barrel are higher in the early stage of production. We also have cost increases of €63 million mainly due the new production of Sapinhoa in Brazil and the startup of the new projects in Russia. Sapinhoa produced 20,000 barrels per day in gross terms during the quarter, but bears the cost of a FPSO with the capacity of 120,000 barrels per day. Two additional production wells we will be connected before year end. Other their minor items to explain their remaining differences. Moving to LNG, adjusted operating income in the first quarter 2015 was €311 million versus €158 million posted in the same quarter last year. We achieved a very positive operating profit of €129 million from the North American assets that will remain in our portfolio, due to exceptionally extreme cold temperatures in Northeast Coast of North America. The 97% increase within the period is due also to higher volumes and better marketing margins in the rest of the businesses. Regarding our downstream we have remained profitable even though the market environment was tough during the quarter, showing the resiliency and efficiency of our integrated operations. Adjusted CCS operating income was €183 million, 123% up year-on-year. Better margins in the refining business, improvement of the chemical division and better LPG results explained the year-on-year earnings growth, while the marketing division continues to suffer from the weakness in the Spanish environment. By business division in refining our margin indicator reached $3.9 per barrel. Taking into consideration the wink margin environment in Europe is still above that $3 achieved in first quarter 2012. The slight improvement year-on-year in light, heavy oil and gasoline spreads explain this difference, while diesel spreads remain flat. The premium margin due to the upgrade investments reached $1.8 per barrel distillate. The better volumes and margins had a positive impact of €98 million. In the chemical division higher margins were able to offset decrease in volumes having a positive impact year-on-year of €35 million. In the other hand commercial businesses LPG and marketing had a lower operating income of €12 million. In Gas Natural Fenosa at €253 million, adjusted operating income in the first quarter 2013 was 5% higher than the €241 million reported in the same period of last year, mainly because of better wholesale marketing margins and better results in the international business mainly LATAM, offset by lower income from power marketing activities in Spain and weaker earning performance of Union Fenosa Gas. The effective corporate tax rates in this quarter was 42.7% before results from affiliates. We forecast a 42% tax rate including accrued inventory effects for the full year under current circumstances. After this brief analysis of our performance, let me focus now on our financial situation. We are maintaining a robust financial position, our liquidity cash and outstanding credit lines reached €8.9 billion, in line with our prudent approach through the financial economic crisis period. The group’s net financial debt at the end of first quarter 2013, excluding Gas Natural Fenosa, amounted to €3.9 billion approximately €560 million lower than at year end 2012. When the LNG sale is concluded net financial debt will decrease by around €2.2 billion. The net debt plus preference shares over capital employed ratio excluding Gas Nat was 19.1%. Summing up, our P&L performance this quarter was positive, our numbers improved despite the difficulties in the economic environment beyond our control namely the downstream division offset by the resilience and competitive advantages of our assets. During the rest of the year, we will devote our efforts to continue to develop the growth projects foreseen in our strategic plan. And now I would be pleased to answer any questions you may have. Thank you.
Operator: (Operator Instructions) Hello, Thomas Adolff from Credit Suisse. Hi, Thomas. Please go ahead with your questions.
Thomas Adolff - Credit Sussie: Hi Ángel. Hi Miguel, thanks for taking my questions. Just firstly on working capital those negative move of about €1 billion, my question I guess is whether this was purely related to refinery maintenance or otherwise how we should expect this to evolve over the balance of the year and I guess on the tax rate you are guiding to a tax rate of 42% which is down year-on-year, wondered whether you can give a bit more color on the year-on-year changes, and how you expect the tax rate to evolve let’s say in ’14 and ’15. And then just on upstream, production was decent 360 KBD, let’s say Kinteroni doesn’t contribute this year, are you still confident on the 10% year-on-year target or in other words can you talk about contingencies and finally just staying also in upstream. When you look at these seven discoveries or at least with encouraging signs do you feel you would have met your annual target for net contingent resource addition or is it still too early to say? Thank you.
Miguel Martínez: Thanks for your question Thomas. Starting with the working capital, I would say that everything came up the same time by the 31st of March. First of all, let me highlight that 2012 year end working capital level was a bit lower than our current structural operating requirements. The increase in this first quarter has been affected mainly by inventories level, and to a lower extent to positive price effects. With regards to the higher volumes at the end of March, there had been no program operational stand-downs already solved in some units, basically the coker in Bilbao and hydro in Cartagena that have led to an increase in crude oil and intermediate product levels. Also some experts, basically one cargo from Bilbao another cargo from Coruna were completed in the first two days of April. So, part of the reason is also there. And as a final comment I will say that the spread between the Urals crude and heavy Saudi has increase enormously. So, we are reducing some how the Urals consumption in favor of the Arabia one. This also implies to have more crude transit. I mean Urals takes seven days while Saudi its 20 days. If you want some how a – which is my estimate for the whole year or which will be a normal situation I would say that falling somewhere in between the 4.2 million tons. We ended up 4.3 million tons basically at the year end and 5.6 million tons we have at the end of March will be probably the place in which we would be, so in April we already have recovered half of this increase in the working capital. In the tax rate I mean normally that depends logically on the mix. But for the whole year we expect 42% and this quarter was a little higher, 42.7%. Basically we analyze the whole year, but we split the charges by quarter. So, in every quarter we assign the tax rate that it’s on it. In relation with the production I keep that to the 10% growth, which was my prior comments in the last quarterly results presentation. And it is true that Kinteroni has been delayed basically it’s – and only it’s for commercial reasons. I mean where discussing somehow the backup of Blocks 88 and 57 to the LNG, Peruvian LNG and through the internal market and this is where it’s taking us somehow a little longer. And finally in relation with the exploration for the year, I will say that we have already covered the expected contingence reserves funding for the whole year. So, it has been real successful partner. Did I answer to you Thomas?
Thomas Adolff - Credit Sussie: Yes, perfect. Thank you very much.
Miguel Martínez: You’re welcome.
Operator: Okay, Filipe Rosa from Espirito Santo. Please Filipe go ahead with our questions.
Filipe Rosa - Espirito Santo: Hi good afternoon everyone. Three questions if I may the first one a follow up on Thomas’ question on explanation. We have seen that you have been quite successful in the Q1 activity, could you just give us some color on what have been the wells which have bigger impact in terms of resource backlog. I will specifically ask you about (indiscernible) which seems to be one that has been most promising. The second question relates to your downstream operations. The profitability in Q1 has been low than we thought for marketing and for chemicals. Could you update us what – whether we can expect some sort of recovery at least for the marketing division over the next few quarters or should we sort of annualize the results from the Q1 to reach the full year EBIT. And the final question on YPF, could you just give us a better idea what will be the minimum expectations for Repsol in a negotiation with Argentina over a compensation for YPF, in terms of whether assets or cash or some guidelines on what will be your minimum requirements for us to start negotiations with Argentina? Thank you very much.
Miguel Martínez: Thanks Filipe. Well in relations which would be the most important, I will say first comment is way too early to say we are still testing some of the discoveries, so its a little early to say, but I like them all to be honest, but if I have to choose probably Sagitario and Alaska the ones that I mean I would say I am more happy about it, but as mentioned still way too early. And touching the second question which refers to marketing in Spain, I would say we keep following. I mean close to a 10%, which appears I never expected to see. I mean, so it’s difficult to see when we will reach the ground over here, but since 2007, we have lost 25% of our volumes in our retail network without losing market quota, so difficult to say. For the full year, I don’t have any other data to give you, I mean we can extrapolate the existing situation, but I don’t have any clue I never expected it to keep falling at this pace. And finally in YPF I mean our aim is clear, the valuation, we have it in different ways by banks that have established a price by the main bylaws of YPF are clear and we simply want a fair treatment, I mean they already have taking our shares. They are even taking the dividends and we simply want a fair treatment and that implies for sure liquid assets at the most I mean if it’s possible in cash, cash. If its financial instruments that can be cash-in, it will be the second option and but we expect somehow to obtain a deferred compensation, we think we deserve.
Filipe Rosa - Espirito Santo: But would you consider to hold assets in Argentina?
Miguel Martínez: Well, I will have to answer to that one personally, I will not, personally I will not, but it is not on me. As mentioned, liquids is what we are looking for at least personally, okay.
Filipe Rosa - Espirito Santo: Okay, thank you.
Operator: Okay, Hootan Yazhari from Bank of America-Merill Lynch. Hi Hootan, please go ahead with your questions.
Hootan Yazhari - Bank of America-Merill Lynch: Hi gentlemen, I had two questions one on the updates on how the conversion of the preference shares is moving along, what we can expect there in terms of any updated guidance you have on the reduction in interest expenses that you faced by converting the preference shares into a bond. And secondly, although if you can give us some sort of color on the sale of the Peruvian downstream assets and what sort of capital release we can expect from that? Thank you.
Miguel Martínez: In relation with your first one Hootan, I cannot talk much because we are pretty close to the filing in the Comisión Nacional del Mercado de Valores, but what I can tell you is that there would be no dilution for the shareholders. As you can understand anything, I tell about the formula we are going to use to swap those prefs could affect the market so the only thing I can tell you is that it will not affect our shareholders, there will be no dilution. And in relation with the Peruvian sale, the process goes ahead. We have made a short list and due diligence has already started with this small group. Our estimate is that would be closing if everything works out well by the end of the third quarter this year. And basically what we expect over there would be something of around $700 million more or less and then you have to discount also approximately another $700 million of loans that we already incorporate in our balance sheet. So, this would be more or less the situation.
Hootan Yazhari - Bank of America-Merill Lynch: Miguel and that includes – sorry does that includes the working capital at the facility as well?
Miguel Martínez: Sorry, the sound wasn’t that good can you repeat the question Hootan.
Hootan Yazhari - Bank of America-Merill Lynch: Yeah, the question was does that $700 million figures also includes the working capital at the facility?
Miguel Martínez: Yes, it does.
Hootan Yazhari - Bank of America-Merill Lynch: Okay, understood, thank you very much.
Operator: Haythem Rashed from Morgan Stanley. Hi Haythem, please go ahead with your questions.
Haythem Rashed - Morgan Stanley: Thank you and good afternoon gentlemen. A few questions if I may. Firstly just to come back on production and specifically I was sort of looking in North Africa, I just noticed that the production levels have been coming down sort of relatively steadily since 2Q ’12. Just wanted if you can perhaps give us an update on Libya in particular how you see activity there on the production site and where we should be thinking about those volumes stabilizing for the rest of the year and how that should evolve. Secondly, just a quick question on CapEx and it looks like it was relatively light quarter in sense of CapEx in the upstream and just wanted if can sort of run that forward for the full year it may imply obviously somewhat lower for the overall CapEx figure for the full year versus guidance I just wanted if I how we should be thinking about CapEx for the rest of this year I mean that should we be thinking about CapEx that’s coming in below where you had originally guided to or is there some phasing there? Thank you.
Miguel Martínez: Thanks Haythem. In relation with Libyan production, we are already al plateau with approximately 340,000 barrels per day of production and we expect it to continue that way throughout the year. We will have between six and seven exploratory wells throughout the year, but I don’t see it impacting in our production figures. So, I will say flat and 340,000 barrels which come for us approximately around 40,000 barrels net. In CapEx we keep attached to €3.3 billion-€3.5 billion ex Gas Net. This stood up the first quarter was light. I think it was €717 million or €720 million, but normally it always happens that the last quarter is the one that gets more loaded. And it is always the first one the one that is lighter, so I keep attached to €3.3 billion-€3.5 billion ex Gas Net.
Haythem Rashed - Morgan Stanley: Okay. Thank you very much.
Miguel Martínez: You’re welcome.
Operator: Hello, Brendan Warn from Jefferies. Please Brendon, go ahead with your questions.
Brendan Warn - Jefferies: Gentlemen it’s Brendan Warn from Jefferies, just one question couple of the other ones have been answered, I guess just with the delays at Kinteroni if you can just give us any indication, are there any additional costs related to the delay. I can just – will ask a follow-on question and apologize just in terms of downstream you highlighted downstream this quarter was profitable, can you give us any sort of indication on this positive free cash flows and again related to CapEx whether the run rate CapEx in the downstream is indicative for the remainder for the year?
Miguel Martínez: Thanks Brendan. Well the only cost related that I can think of with Kinteroni is that with our partner we already have I think it was $570 million, which are not producing, but only the financial cost of it. But the I mean I mentioned its already in Peru trying to sort out the issue of the Blocks 88 and 57, so it couldn’t take I hope longer, so no extra costs related and just the closing of the commercial conditions are the one that are on top. And in relation with the free cash from the downstream division, the quarter was really light, and it’s true. But really I think that at the end of the year will be around €600million-€700million for the whole division. So, as I told to Haythem in the question before till now I don’t see any reasons why we will not be around the €3.3million-€3.5billion for the whole year. Is it okay Brendan?
Brendan Warn - Jefferies: Okay. Thank you.
Operator: Well, now please Alejandro Demichelis from BNP Paribas. Hi Alejandro, please go ahead with your questions.
Alejandro Demichelis - BNP Paribas: Yes, good afternoon gentlemen. Couple of questions from my side coming back to Kinteroni, should we think that Kinteroni is completely separate from the disposal of the Peruvian downstream assets on any kind of approval that you need to get for the LNG plant? That’s the first question. And the second question turns to the LNG numbers that we have seen this quarter, particularly out of Canaport, maybe you can tell us how much do you think that is sustainable from that?
Miguel Martínez: Well, the first one I mean Kinteroni as mentioned is linked to the backup in one hand of the Peruvian LNG, and also to the gas that has to go to the local markets. And the thing that can be separated we have approximately eight or nine partners. So it’s not that you see to end up closing the deal that satisfies everyone. And this is the only thing that is taking us more time and for sure is not linked to the Downstream movement its only linked to as mentioned to the which would be the gas that we have to place for the LNG and which would be the one that will go in to the local market. And in relation with the LNG Canaport, I would say that is not sustainable I mean basically the good results there which has been the whole increase in the LNG division has been due to real cold weather they had during January and February in the East Coast. Four cargoes went to Canaport through the quarter and at a given moment even prices were above $20 million per millimeter used so I would say one half in $0.01 and we will have to see what we have done is a project to reduce the limit of what the Canaport plant needs to operate down to 10 million cubic feet per day and we know that this plant will be working two, three, four months of the maximum for the year but I don’t see any possibility to repeat it. Last year to give you an example operating results in the assets we kept in the U.S. were minus €8 million in the first quarter. And this year we have been 166, so basically it has been a good quarter and that’s it. Okay?
Alejandro Demichelis - BNP Paribas: Okay that’s very clear. Thank you.
Operator: Thank you. Hello, Bruno Silva from Banco Portugues de Investimento. Bruno, go ahead with the questions.
Bruno Silva - Banco Portugues de Investimento: Good morning. I just have a follow up question and related with refining margins. When you mentioned regarding I think working capital and was mentioned the input crude mix change in light of the devolution of spread between heavy and light crude, what was the impact in the reported refining margin in this first quarter or if there was known is it possible to have an estimate of what could be the impact of those actions over the coming quarters? Thank you very much.
Miguel Martínez: I mean to predict this is difficult especially the future. But I would say that thing that approximately an almost 50% of our diet it’s on heavy stuff. So the spread between heavy and light really affect us. Also we have seen is especially in the last month that the diesel is spread with Brent has reduced enormously which implies that those refineries with no real complexity are producing with more heavy stuff which also implies a reduction in this spread. Our estimate for the whole year I would say we will keep it at to $5.5 per bottle more or less though I can tell you that right now there is no margin in European refining and this is due to the small spread we have today between the fuel oil and the crude oil. So but we will see I mean as mentioned the future is quite difficult to predict.
Bruno Silva - Banco Portugues de Investimento: Okay. Just another follow up, I forgot to mention in the first step, can you make an update or confirm whether or not you are taking actions to sell remaining interests in LNG namely Canaport?
Miguel Martínez: Can you repeat the question Bruno please?
Bruno Silva - Banco Portugues de Investimento: I was asking, if you are taking any actions or there is any process ongoing for the divestment from the remaining assets in the LNG unit?
Miguel Martínez: Okay, sorry the sound is not good today, so sorry we are asking you to repeat the question. I mean basically once we close the whole transaction with Shell, we will have to and we will accrue approximately $1.8 billion out of $2.5 billion which is our book value. And then we have to see how we move ahead with the plan that today say a problem as you all know that several things are clear I think that we were last year at the worst scenario for the plants with an average of $2.4 per million BTU. It was sure that no LNG was possibly coming to North America. This situation will change one way or the other I mean first if the U.S. allowed exports of all the gas they are producing for sure prices goes up – will go up. If they don’t I am sure that all the fleets will start shifting into gas their tracks, so this also will imply a higher price. And also as looking to the issue from the other side from the LNG producers more and more LNG will come to the sea in the following months and years. So, at a given moment I think that CanaPort will be in a better situation that the one we have today. Right now, what we are doing is having contingent plans to analyze which are our options and how operationally we can reduce debts short-term. Okay?
Bruno Silva - Banco Portugues de Investimento: Okay. Thank you very much.
Operator: Thank you. Please Alastair Sysme from Citi. Hello Alastair, please go ahead with your questions.
Alastair Sysme - Citi: Just one question can I ask Miguel what you can fundamentally do about the poor profitability and marketing. Is this something you can do on the cost side to help and get margins back up, I assume the problem is that you are running a reasonably higher fixed cost base and you just can’t pass through the price increases?
Miguel Martínez: I mean marketing probably is the most profitable business we have within the company and that our total capital employed should be around €1 billion and we are doing that figure almost in two years, so basically it’s very profitable business. The point there which is also something to consider is that right now we are working with a margin of $0.02 per liter that we sold. So, I mean in a market that is being reduced 10% after 10%, right now we are simply somehow trying to put the margins where they were last year. I think that by the beginning of the year there were some extra taxation for the biofuels. And we are observing this tax increase though we expect to little by little to capture it back. But it does not and no other thing to do I mean we are not losing market quota, so is the home market the one that is falling. And by the year we expect in the whole division to also move EBITA levels between €1.5 billion and €2 billion which is what we have been capable in the last five years of crisis to maintain in that division. On top of that, we finish all our CapEx program by the end of 2011. At that time we were investing €1.7 billion-€1.8 billion and we have reduced that figure down to €700 million. So, extra cash, free cash will come easily into the rest of the company especially to fund the upstream projects.
Alastair Sysme - Citi: So, but what I mean given you did €350 million EBITDA in the first quarter what drives the improvement to get that €1.5 billion to €2 billion range?
Miguel Martínez: I mean in the first quarter we were at €360 million more or less and I would say that marketing would be basically the one that will have to improve their performance. On top of that as mentioned, we expect approximately $5 per barrel produced in refining while in the first quarter, we have been around $3.5. So, also refining will have to increase that. And finally in chemicals, the margins keep improving, the volumes having show up. So, the combination of all these three factors is what I think will lead us into this minimum figure that we expect of €1.5 billion.
Alastair Sysme - Citi: Yeah, I guess I just don’t understand in response to your other question by earlier results by getting marketing profits back up, what drives that improvement, because if the market remains difficult, it remains difficult?
Miguel Martínez: Well, I think that the point is that (indiscernible) increasing by €0.01. Our price there that will go straight to the bottom line, and this implies a 50% increase of the €0.02 we have had in this quarter. So, the leverage we have there is quite important. And I mean, thing also that this will imply as mentioned 50%. Right now, we are working with €0.02 per liter after-tax €0.01 would make the difference. And I am sure that no one knows whether it’s the last time, they filled their car, the price was €1.47 or €1.48 so, but it’s the only way out, I mean for sure demand, I do not expect demand to recover.
Alastair Sysme - Citi: Okay, thank you very much for that.
Operator: Okay, thanks. Now please, Irene Himona from Société Générale. Please go ahead with your questions.
Irene Himona - Société Générale: Thank you. Good afternoon. Just one question remaining, if I can go back to the realized liquid price in your upstream, the discount brand in the quarter was only about $14, I think compared to $30 a year ago. If you can just talk about what that was due to, is it the mix of production, is it the one-off basically or was it sustainable? Thank you.
Miguel Martínez: It’s sustainable, Irene and good afternoon by the way. It’s sustainable, but basically because within our mix, we had a quarter in which we saw last year, a 20% of our stake there and in next quarter, our realization prices $37 per barrel and you can add up to these that there is a little bit U.S. production and little more Brazil production, which also had a higher prices so, I would say it’s consistent and we can keep that throughout the year.
Irene Himona - Société Générale: Okay, thanks so much.
Operator: Thank you. Please now Anish Kapadia from TPH. Please go ahead with your question.
Anish Kapadia - TPH: Hi, good afternoon. I had three questions. Firstly on the Mississippian Lime, we’ve seen SandRidge just recently, cut back the number of rigs being run to 25 from over 30, given its focus on liquidity. So, I think they’re running – they’re intending to drill less than 500 wells this year. I was just wondering what this means to you medium term Mississippian Lime production target. As I think your original plan was to drill something like 1,000 wells next year. The second question was I just wanted to say if we get a little bit of an update on your 2P Venezuelan upstream projects, some just more detail on the progress – initial production timing and the ramp-up. And then the final one was on Trinidad and Tobago. It’s the largest producing asset in your portfolio. We’ve seen the reserve life that fall down to seven years at what’s now a reduced production rate, just wondering how much of a concern that is and how you see production over the next few years? Thank you.
Miguel Martínez: Thanks for your question, Anish. So, I think with SandRidge, they have announced in April their new strategic plan reducing somehow their top level CapEx by 17% versus prior guidance for 2013. This implies that the number of rigs on average will be 25 instead of 32, which was the original estimate. I mean, we’ll have to look at it. For this year, there is practically no variation on our figures. And what I think its important is that I think SandRidge is a very good operational company. In fact, some of the initial estimates we did in our investment plan, like the cost per well which we include $3.6 million. They are drilling at almost $3 million per well. And I think that part of the reason why we enter with them was the coverage, and we have some experience there. And we think that we can help out the production, I mean, they were more or like a factory and they know that their areas what they call the sweat spot areas. But we are looking more in our people is analyzing more the way, I mean, why are those areas really they wants that get more production so, I think that the combination of the team will work out pretty well. In relation with the year, no variance for us, I mean, it will not imply much of the – a variable. The second question which refers to the ramp-up of the different project outside the – in mid-continent the increase up to an average of 8,000 barrels per day which is what we expected for the year, it’s more or less linear. In Russia, it’s somehow loaded in the last five months of the year and in Kinteroni, the ramp-up will be quick once we started, but as mentioned before it’s dependent on the commercial negotiation with our partners.
Anish Kapadia - TPH: Just I think you misunderstood the question, the question was it was specifically on Venezuela, actually. Just once again update on the progress that you are making on Carabobo and Perla, how that was going in kind of timing on the first production in ramp-up.
Miguel Martínez: Okay, sorry, I understood, it was for the whole project. In Carabobo, the ramp-up will start May, June and I mean we expect to release more figures, I mean, we are talking that we will end up on average of 2,200 barrels per day. So, it’s I’d say quite as more one. And in parallel, there would no protection within the year. We expect to start production in 2014, okay. And final question in relation to the Trinidad & Tobago, the – I mean, we are at plateau there and I think we have reserves in our books for the next seven years of production, approximately. So no more news or no more things to comment there, I mean, we are a plateau, that’s it.
Anish Kapadia - TPH: Yeah, just on – seven years reserve life – should we expect fairly significant decline is from Trinidad & Tobago over the next few years.
Miguel Martínez: No, the only variance that you will see throughout the year will be due to maintenance. There were some maintenance expected for the first quarter that has been delayed for the second one, but as mentioned, I mean, we are a plateau and I don’t see any decline in Trinidad & Tobago production other that those that are forced by maintenance.
Anish Kapadia - TPH: One other just quick follow-up on Mississippian Lime, so, where would you see under the kind of new plan of drilling with 25 rigs over the next few years? Where would you see production in 2016 versus your previous target of 40,000 barrels a day?
Miguel Martínez: We don’t have still all the data that we are discussing with them right now. They have launched their strategic plan; we have to analyze those figures, and the impact in our own. So, I still don’t have any extra information I can provide you. I think they somehow published their new strategic plan and we are analyzing the impacts that we will have but as mentioned I don’t see it for sure I mean for them, it’s more important than for us, I mean for us, but I still don’t have any data.
Anish Kapadia - TPH: Okay, thank you, Miguel.
Miguel Martínez: You’re welcome.
Operator: Thank you. Well, now Bhirat Bucksari from Royal Bank of Canada. Thank you. Go ahead with your questions.
Bhirat Bucksari - Royal Bank of Canada: Hi guys. Bhirat Bucksari from RBC. I had a couple of questions. First one just on the LNG disposal to Shell, when do you expect that to close? And secondly, are you in discussions with the rating agencies regarding potential implications if Shell payment wasn’t received by the end of 2013? Thanks.
Miguel Martínez: Thank you. Right now, the process is going as smoothly. And I would say that P50 would be closing by September, October okay? We already have the agreement of four out of the five authorities of antitrust, but at this moment, we have meetings with the lenders and then with some of the contracts. So, things are moving smooth, and I would say that if everything keeps that way, we should be closing by September-October this year. In relation with the rating agencies, I would say that on average, the sale, I mean the closing will imply a direct positive outlook probably. And if we apply those proceeds into that reduction, I would see that short-term an upgrade in our rating will arrive.
Bhirat Bucksari - Royal Bank of Canada: Okay, perfect. Thanks.
Operator: Thank you very much. And then now please from Barclays, Rahim Karim. Hello, how are you? Please go ahead with your questions.
Rahim Karim - Barclays: Hi, good afternoon gentlemen. Two questions if I may. To ask the second half of Irene’s question around realizations, gas realizations are very strong in the quarter. I understand it’s probably due to Bolivia, but is there anything else in there that we should be aware of or should we expect current levels of realizations to be sustainable? The second question was just regarding Pemex, if you could just provide any detail regarding the developments of the heads of agreements there. Have we made any progress on that? And if you can at least, I don’t think you will, but if you can make any comments regarding the suggested sell down of their position? Thank you.
Miguel Martínez: In the first one, as mentioned before, I mean in realization prices, we think is sustainable what we have achieved this year. I think that in liquids, I comment to Irene, that the disposal of Ecuador, plus more U.S. and Brazil is helping out the price in liquids and in relation with gas, the one that moves the dial, its Bolivia, which (indiscernible) we are obtaining 10% of the Brent price for our gas there. So, yes, I think it’s sustainable. And in relation with the news that appear about the sale of the stake of Pemex, I spoke with the Board member that is the representative of Pemex in our Board, and he told me that it was simply a accounting issue due to IFRS, they have to account the 5% they bought as ready to dispose or ready for the sale, but there is nothing behind it. And in relation on how we are moving on the agreement, I would say that step-by-step, there has been groups in the upstream and downstream divisions that are working together. And we’ll see how it evolves, but I would say that in relation with Pemex today, it’s perfect. Did I answer you Rahim?
Rahim Karim - Barclays: Yeah, that was perfect. Thank you very much.
Operator: Thanks. Hello Jason Kenney from Santander. Hello, please go ahead with your question.
Jason Kenney - Santander: Hi, there. Thanks for taking the questions. Just a couple of data points if I may, can you give me the EBIT for the North American LNG business, you cannot retain for the full year 2012, I know you mentioned the first quarter EBIT number earlier. And then also if possible, can you remind us of the EBIT for Peru refining in the full year 2012? And can you just clarify, because I did have some technical issues on the phone earlier that €1.5 billion to €2 billion range that you mentioned for I think it was EBITDA or in refining, was that for 2013 full year number? And then finally, I think your results have beaten by around 10% on average for eight quarters now, and I was just wondering if you had a view on what you think analysts are not willing to believe in your earnings capability or maybe how cautious do you think guiding currently is. Just kind of get a sense of how you view that consistent beat quarter-on-quarters?
Miguel Martínez: Thanks for you questions, Kenney. North America results or the assets that will get EBIT 2012 was 114, negative minus 114 okay? Peruvian EBIT was €43 million in 2012.
Jason Kenney - Santander: Thanks.
Miguel Martínez: Okay. And now your question in relation with the EBITDA in the downstream division which was exactly, Jason.
Jason Kenney - Santander: There was a technical issue, so I didn’t hear whether you said the €1.5 billion, €2 billion range was for 2013 delivery, is that a future target?
Miguel Martínez: Well, basically what I commented is that I think that the figures we have obtained during the crisis always have moved in this division between €2 billion and €1.5 billion, we are still in crisis so my estimate is that we would be in that range, probably in the lower part of it. Okay?
Jason Kenney - Santander: Full year 2013?
Miguel Martínez: That’s correct.
Jason Kenney - Santander: Okay, thanks.
Miguel Martínez: Okay?
Jason Kenney - Santander: Yeah.
Miguel Martínez: And in relation with the consensus I think that the only difference that the consensus have with us in this quarter was our North American LNG assets, I mean the rest of them were really accurate and probably nobody was expecting to that we will be selling gas in the Eastern Coast $20 per million Btu, but I mean it’s up to the consensus to approach better, I mean, the rest of the areas I think that – it was really accurate.
Jason Kenney - Santander: I suppose my question was more that if you do look over the last eight or maybe in 10 quarters you have had a consistent 10% beat Q-on-Quarter, so even ignoring the one-off North American LNG this time, do you think that the forward consensus for earnings is 10% light?
Miguel Martínez: I think that for 2013, the consensus for the full year has not been actualized, but I mean – and I don’t have in mind, which were the consensus in previous quarters. What I know is that in this quarter the main reason was the LNG North America which even for us was somehow and expected I think that last year as mentioned before we lost I think it was €8 million and this year we made a very good again over there. But I don’t – I cannot think in any other reason but we will double check and turn back to you if you want Okay?
Jason Kenney - Santander: Okay thanks very much.
Miguel Martínez: You’re welcome.
Operator: Okay, thank you very much. Marc Kofler from Macquarie. Hello Marc. Please go ahead with your questions.
Marc Kofler - Macquarie: Yes, hi. I have two very quick questions, please. Just firstly on the incremental startup costs in the upstream that you alluded to in the first quarter, I was just hoping to get a bit more color on that in terms of this solely a first quarter effect or if some of that is incremental cost?
Miguel Martínez: Sorry Marc, we don’t understand. The noise is not very good. Could you please repeat slowly?
Marc Kofler - Macquarie: Yes, hi, is that any better now?
Miguel Martínez: No, but please try slowly, so, we will try to understand.
Marc Kofler - Macquarie: Okay. So, two questions, firstly on the upstream margins in the first quarter, I was wondering if the incremental startup costs you alluded to, if they were likely to rollover into the second quarter and for the rest of this year. Was it just a first quarter effect? And then secondly on the high utilization on the downstream in the conversion units in the first quarter given your comments around local market conditions and some of the maintenance effects, again I was just wondering if that sort of 98% was sustainable for the rest of this year? Hopefully you heard that.
Miguel Martínez: Thanks, Marc. Sorry, the sound was not good. In relation with the incremental cost, I would say that there, I mean, a couple of factors that are affecting it despite increasing production for sure. One of them is that when you start a project or start producing, normally the figure we have of developed reserves is quite small. So, they get really penalized in the depreciation figure. And the second one refers to also the startup of, for example, in Sapinhoa, I mean we have the coal cost of the FPSO that can produce up to 120,000 barrels where well, we are only producing 20,000. So, extra coast come for these reasons. It would be sustainable, but progressively coming down in the cost per barrel I would say. And in relation with the conversion, the answer is yes, I think we can keep the percentages of utilization we are having.
Marc Kofler - Macquarie: Great, okay, I’ll leave it there. Thanks.
Operator: Okay, thank you. Please now, Matt Lofting from Nomura. Hi, Matt, how are you?
Matt Lofting – Nomura: Hi, good afternoon. Just one question left, please just wanted to come back to exploration, clearly an encouraging start to the year. I think at the start of the year, you sort of pointed to an expectation of testing about 6 billion barrels in gross terms for the year. I was just wondering if you could give us a sense of what sort of percentage of that 6 million balance, you think is still left to be tested through the rest of this year? Thanks.
Miguel Martínez: That’s a tough one. Matt, I don’t know the answer, but how, I mean, I will ask my people to call you back to give you some color there. Though I think that more or less throughout the year, the process is quite balanced, basically because some of the more riskier exploration wells we have aims for bigger prospect. So, depending on the results we will see that, I would say that one-fourth could be probably the figure, but as mentioned, I will check with the exploration people, and I’ll turn back to you, okay.
Matt Lofting - Nomura: Perfect, thanks very much.
Operator: Thanks a lot. Now, please Samuel Simon from Canaccord. Hello, Samuel, please go ahead with the questions.
Samuel Simon - Canaccord: I’m sorry I don’t have the question to ask.
Operator: Okay, thanks. Then Neill Morton from Investec. Go ahead with the questions.
Neill Morton - Investec: So, I have no questions left either. Thank you.